Rene Goehrum: Hello, and welcome to the BioSyent Inc Q1 2025 Results Presentation. My name is Rene Goehrum and I'm the President and CEO of the company. I want to draw your attention to our forward-looking statements disclaimer. I'm sure I will make some forward-looking statements. I want to dive into the presentation by taking a look at our revenue EBITDA and net income after tax. So you can see in the green bar, our revenue reached just under $11 million for the first quarter, representing a 42% increase versus the year ago, which was also a strong growth quarter for us. First quarter of 2025 represented a record quarter overall for the company. We had strong EBITDA performance at plus 45% to the year ago and a 29% margin to revenue. And our net income after tax came in at just over $2.3 million, representing 21% of revenue as a ratio. So let's take a look on a brand and unit basis. Overall, our Canadian pharma business was up 21% to the year ago, just under $9.2 million, broadly driven across the portfolio with a couple of exceptions. So you see here this is quarter versus quarter, '25 versus '24, and the index. So strong growth across brands, the notable exceptions. Gelclair is still struggling to find its footing in the market in Canada. It is our most recent product introduction. And Combogesic has really settled in as a pretty small part of our business overall, certainly smaller than first anticipated when we launched that product five years ago. The thing I'd like to point out here is in the comparable period, we had no sales for our international pharmaceutical business. Obviously, with over $1.5 million in the quarter, a dramatic change. I will be talking a little bit about some of what's behind that on the Tibelia business that we made an acquisition on. We have been using the word lumpy to describe our international pharma business for years. And I would say that we're now really less so. I think this quarter in the year ago represented our only quarter of late where we did not have any international sales. So that profile has now changed. And I think we're now in a zone where we expect sales to customers outside of Canada or our international pharma business on a regular basis. You see here as well, strong performance for our legacy business. I wouldn't read too much into that. It's a good start to the year, first quarter. It's a relatively smaller part of our business, and I would not put any big growth driver expectations on that. So, overall, at $11 million, just under $11 million in revenue, company-wide, the performance has been essentially in the range of our expectations, maybe a little bit better than what we expected to have happen. But we were expecting 2025 to be a solid growth year. So it's a good start to the year. So how did our revenue growth and profitability translate to per share basis? You see here on a trailing 12 months ending March 31st, what our profit is on a per share basis. So $0.41 two years ago, $0.59 a year ago, now we've jumped to $0.67 in the trailing 12 months. That's notable because we reported our 2024 results just a few months ago for the period ending December 31st, and the TTM EPS was $0.62. So a solid jump from $0.62 to $0.67 on the basis of a strong profitable start to the year. The first quarter of 2025 represented our 59th consecutive profitable quarter. We came profitable in the second quarter of 2010. And since then, we've consistently built our business, grown revenue, and delivered profit for shareholders. So a quick look at some highlights on a YTD basis. I mentioned Tibelia Global. So, we made an acquisition, which we had closed and announced last September. We've talked about that in a couple of presentations, so I won't go through the detail. But if you're interested, if you're new to the story, I invite you to take a look to a September 20th announcement and then subsequent comments that we made in subsequent reporting quarters. So last year's results essentially had no revenue impact from that acquisition. We started shipping in January and February of this year. So, in the quarter, we booked about $800,000 worth of new revenue. And we have filled our order book and production scheduling for the second, third, and fourth quarters of this year. And in fact, we are now filling our order book and production scheduling for Q1 of 2026. We paid a dividend in the first quarter in March of $0.05. That represented an 11% increase versus the prior year. And we've just now announced a dividend of $0.05 to be paid in June. Last month, FeraMAX was named the number one recommended oral iron supplement in Canada for the 10th consecutive year. So we've been building that brand now going back 15 years. And starting 10 years ago, we've been the number one recommended supplement amongst pharmacists and doctors across Canada. This is an independent survey of healthcare professionals, and FeraMAX is their number one recommendation to patients. We're leveraging that trust that we've built over the last decade and a half. And I've got some more comments on the FeraMAX business coming up. We continued with our NCIB. We repurchased 19,500 shares of YTD. You'll see that that number appears quite a bit lower than run rate that we had had last year. We purchased just under 500,000 shares last year in 2024. But we intend to continue with NCIB. It may be at a slightly more modest pace, but we'll continue to pick away at shares as we see them in the marketplace. So a big theme over the last six months or so has been the impact of new arrangements and tariffs being made with trade. Maybe the arrangements are those that are being made by the United States government. We spoke a little bit about this in March. Not a lot has changed with respect to how it impacts our business. So I would say, there are continued uncertainty. Mostly what we know is that we don't know. We have been taking necessary steps in our business to mitigate the impacts or the potential impacts of tariffs. I guess that the key thing to know is that we don't sell pharmaceutical products into the United States. So products and our customers are not subject to tariffs on the way into the market. It'll really be about where things settled out with tariffs and what the United States does and how Canada responds. I think this is fluid. I think everybody understands it's fluid now. So we're just staying on top of it and then making some adjustments to the extent that we can to mitigate. So we see no short-term impact on our business. I would say nothing this year, fiscal 2025. I would say that we would continue to take the necessary steps to mitigate our P&L into 2026. And hopefully, more will be known here in the coming months. I've spoken about FeraMAX as number one. We've used this as a platform to innovate and drive a lifecycle strategy for FeraMAX. So we reformulated the product and put that in market in late 2020. And then over time, we've been essentially reformulating products that existed in the marketplace. We launched new FeraMAX Pd Maintenance 45 in March of 2023. So we're two years into that launch, still considered a launch product in the parlance of how we manage our business. And it certainly has been contributing overall to the growth of the FeraMAX brand, which I reported earlier on an earlier slide. We do have additional development that is underway and are optimistic that we'll have a 2026 product launch for the FeraMAX brand. So we've had a busy 4.5-year period of time with innovations, product launches, and acquisitions. I'm going to start that with mid-year 2020, take you back in time, that is in the heart of COVID. We launched Tibelia in Canada and have been steady at it since then in terms of launching innovations and new product launches and making acquisitions. On this slide also, though, at the bottom, you represented the new FeraMAX development that's underway, and we're optimistic about a 2026 launch. And we also enlicensed a new endocrinology asset last year that we think has significant peak penetration revenue value. So growth, overall revenue growth potential for BioSyent. We're still working on preparing that asset to submit to Health Canada for marketing authorization. So I touched on the fact that until we became profitable in 2010, so now 15 years of consistent profitability, while consistent and growing is really a better description. We had only two assets in market back in 2010 when we became profitable, the original FeraMAX and our legacy business. On the right-hand side of the screen, you see all of the various brands and products that we have in market now, and that continues to evolve. What I want to point out on this slide here is the bottom left corner of the fully diluted shares outstanding back in 2010 when we became profitable, and the fully diluted shares outstanding on the bottom right-hand side of your screen. So during this period of time, we've built significant business. Last year, we did $35 million in revenue. Clearly with how we started this year, that number is going to grow in 2025, and we fully expect that. That's part of our plan, and we've done it by being good stewards of our shareholders' capital and respecting our cap table and ensuring that we're not diluting our shareholders in the process. So we do have a strong balance sheet. On March 31st, we had just under $25 million in cash. You see on this slide how that compares to a year ago and two years before that. So we've been in a range of about $25 million to $28 million in cash and near cash on the balance sheet. We have no debt. That has not changed at all. So over this whole period of time, we've had no debt on the balance sheet. You can see the impact of growing revenue, growing profit, and then managing our cash position on the balance sheet has driven our return on equity from 15% in the 12 months ending March 31st of 2023 up to 22% in this most recent reported 12-month period ending March 31st. We generated $7 million in cash from operations in the trailing 12 months. We returned $4.1 million of that to shareholders in the form of share buybacks. I mentioned that we had a fairly robust buyback program last year, a lot of activity, and that was largely back-end loaded. So in the last nine months of last year, that includes obviously the first quarter of this year to come to the trailing 12 months. So $4.1 million. We paid dividends in aggregate in those quarters of $2.1 million. So $6.2 million returned to shareholders, cash from operations of $7 million. Proportionately, it's probably higher than one should expect as we look forward. The dividend not, we have every expectation that dividends continue and that over time, we are in a position to increase those dividends. I think NCIB as a proportion of our cash from operations, I would say one should not expect to see that significant a number. We really are managing NCIB off of our balance sheet, not so much off of our income statement. So I do get asked in this case now it's $25 million. What is your intention with the cash position of the company? And we have been communicating this now for some time, but in essence, the first use of capital is to generate a revenue and profit growth and then also to deliver portfolio diversification. So to continue to diversify the revenue streams that we have available to the business and to drive our revenue and profit growth. We do however have a capital light business model. It's a cash generating business. We are investing in growth. I spoke about that on a couple of slides ago of all of the innovations and acquisitions that we've made over the last 4.5, five years. So that has continued and will continue. That's part of our strategy. In essence, we want you to think of us as a capital compounder and we'll continue to do that. We'll take excess capital that we don't think is required to drive that strategy and we will buy back shares and continue to pay a dividend. I'd like to end on this slide just to remind shareholders of how we're managing incentive equity compensation. So you'll see in the middle of the slide that we mentioned RSU shares and trust. We discontinued use of share options as a form of equity compensation over six years ago. So the last time, we issued any dilutive share options was in March of 2019. We pivoted to using RSUs as a form of equity compensation in the business. What we do is we go into the market and we buy shares in the market and hold them in trust to satisfy our obligations under the RSU program. So quite an anti-dilutive approach to how we're managing our cap table and that's simply because we are shareholders as well and we think managing a dilution is important for the business and creating value on a per share basis. We look forward to reporting on our continued evolution of the business and we'll next be reporting to you our Q2 results in August. Thank you.
End of Q&A: